Operator: Thank you for standing by. My name is John, and I’ll be your conference operator for today. At this time, I would like to welcome everyone to the DoorDash Second Quarter 2024 Earnings Call. I would now like to introduce and welcome Mr. Andy Hargreaves, VP of Investor Relations to begin the call. Andy, the floor is yours.
Andy Hargreaves: Thanks, John. Good afternoon, everyone. And thanks for joining us for our Q2 2024 earnings call. Very pleased to be joined today by Co-Founder, Chair and CEO, Tony Xu; and CFO, Ravi Inukonda. We’ll be making forward-looking statements during today’s call, including our expectations for our business, financial position, operating performance, our guidance strategies, capital allocation approach and the broader economic environment. Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those described. Many of these uncertainties are described in our SEC filings, including our Form 10-Ks and 10-Qs. We should not rely on our forward-looking statements as predictions of future events. We disclaim any obligation to update any forward-looking statements except as required by law. During this call, we will also discuss certain non-GAAP financial measures. Information regarding our non-GAAP financial measures, including a reconciliation of the non-GAAP measures to the most directly comparable GAAP measures, may be found in our earnings release, which is available on our Investor Relations website. These non-GAAP measures should be considered in addition to our GAAP results and are not intended to be a substitute for our GAAP results. Finally, this call is being audio webcasted on our Investor Relations website, and an audio replay of the call will be available on the same website shortly after the call ends. John, I’ll pass it back to you and we can take the first question.
Operator: Thank you. [Operator Instructions] Thank you. The first question comes from the line of Nikhil Devnani from Bernstein. Please go ahead.
Nikhil Devnani: Hi. Thanks for taking the question. I wanted to ask about what you’re seeing from an overall demand perspective. There’s a lot of talk right now about softening restaurant demand. Your outlook points to some deceleration, but still looks very healthy. So, I guess, to what degree are you seeing changes in behavior or softening on that front? And my follow-on to that is a bit more of the secular story here. So, I mean, how would you characterize the new customer funnel for the U.S. restaurant marketplace? I think there’s a common perception that all customers should have been acquired during the pandemic, but what do you see on that front in terms of how new customers are still adopting this service today and how does that make you -- how do you think about where we are on kind of the growth curve there? Thank you.
Tony Xu: Hey, Nikhil. It’s Tony. I’ll take both of those and feel free to chime in, Ravi. We’re seeing really strong demand on the consumer side. So, we’re not actually seeing some of the challenges that you may be hearing about or reading about in other headlines. I think there are a few reasons for this. I think, first, we’re still in the early innings of the move towards digital and the overall omnichannel experiences that every restaurant and retailer is participating in and we’re lucky to play in the part that is growing. I mean, if you look at digital only, that’s growing not just for us at DoorDash on our marketplace, it’s also growing for us in our first-party platform as we power a lot of these restaurant and retailer websites for ordering, as well as their delivery channels. And they see that too, by the way. While some restaurants, to your point, may be seeing some headwinds in traffic, I mean, their digital channels are growing very robustly, many multiples of, I think, their overall growth and we see that similarly. But at the same time, we’re still just single-digit penetration in restaurants and outside of restaurants. We’re even lower than that. So, we see a long runway for growth there. The second point I make is that our product continues to get better. I mean, if you looked at our cohort behavior, whether it’s retention or order frequency, I mean, all of these things are as good or better than even our pandemic cohorts for every cohort since the pandemic. And so, I think that’s a reflection and testament to the work that the team is doing. We already have category-leading selection, but we’re continuing to extend that lead. We have the best quality as well as lowest cost logistics network in the most places in the U.S., not just for restaurants, but also for retail. That continues to get more accurate and faster. We continue to work on our affordability programs. I mean, DashPass had an all-time high in terms of its subscriber base. So, I think a lot of people are resonating across all of the dimensions in which we are judged from the consumer’s view. The final point I make is that, we are increasing the number of use cases on DoorDash. We continue to see just tremendous growth, much faster than the industry, I mean, many, many, many fold faster than anyone else, both in the U.S. as well as globally in restaurants, but also outside of restaurants. And increasingly, we’re seeing customers come to us for the first time actually for non-restaurant use cases. And so, in terms of your question on new customers, I mean, we actually see a couple of things. One, we still acquire more than anyone else. I mean, more than -- in restaurants, more than one out of every two new customers that come into the industry. Outside of restaurants, we’re about one in every two. So, in any category of local commerce, we acquire more new customers than anyone else. And I think what you see about the point about like, “Hey, look, is the new customer point saturating?” The way I think about this is for us at DoorDash, yes, we have tens of millions of customers every single month, but we have many multiples of that ordering with us every single year. So, within even our own ecosystem, whether they’re a new customer or a customer that’s an occasional customer that’s coming back now to the platform, within our own ecosystem, we have a long runway for growth. And so, yes, we’re getting new customers, especially in restaurants and new categories. I mean, I mentioned some of those stats, but we’re also getting customers who are in our ecosystem. They don’t participate yet with us every single month or every single day, but increasingly, they’re getting this.
Ravi Inukonda: So, Nikhil, just to add a couple of points to what Tony talked about, right? The demand on the platform continues to be very strong. When we look at the underlying cohorts, they’re very strong. The recent cohorts are actually as strong as any of the older cohorts that we’ve seen. Even for the core restaurant business, when I look at the growth rate in GOV on a year-over-year basis, the growth in Q2 is very consistent with what we saw in Q1. Even from a linearity perspective, the business actually grew faster in June compared to April. Tony talked about some of this, but DashPass had a really strong quarter, all-time high in terms of subscribers, order frequency continues to be at an all-time high. So, the underlying cohort strength is actually very strong and the demand continues to be very strong across the Board for us.
Nikhil Devnani: Thank you, both.
Operator: The next question comes from the line of Ross Sandler from Barclays. Please go ahead.
Ross Sandler: Hey, guys. First one on the take rate, it’s up quarter-on-quarter, year-on-year, the revenue take rate. And in the letter, you talked about reducing consumer feed and you just mentioned DashPass growing a lot faster than overall. So, could you talk about, like, what’s driving that? Are you seeing efficiencies on Dasher cost or something else like drive causing that take rate to go up as much as it is? And then the second one is, you also mentioned that the majority of your largest international markets have better retention than U.S. Could you just give us a little bit more color on what’s driving that? Is that kind of the breadth of offering or levels of competition or something else? That’s all. Thanks a lot.
Ravi Inukonda: Hey, Ross. I’ll take the first one. Tony, feel free to jump in on the second one. But in take rate perspective, Ross, let me break out what’s going on with revenue. If you think about revenue, there’s a few different components. You have the ad business, which is growing really fast. You have a platform business, which is also growing really fast. Both of those are driving the improvement you’re seeing in both revenue growth as well as take rate. At the same time, you also have cost lines, whether it’s Dasher or quality. The team has done a great job of improving that compared to last year, boosting improvements in efficiency. For us, the goal has always been to continue to drive improvements from an efficiency perspective. But at the same time, we’re also going to continue to find opportunities to reinvest that back in growth. As I look ahead from a take rate perspective, I do expect us to improve and grow our ad business, as well as our platform business. Even on the cost line, there’s still lot of opportunity for us to continue to drive improvements in efficiency. At the same time, we’re going to try to find good opportunities where we can drive investments in retention or the frequency while continuing to improve the overall take rate in the business.
Tony Xu: And Ross, on the second question about international markets and just the retention and frequency levels there. I mean, it’s really a story of two things. One is, well, we started with a very robust set of fundamentals and foundation, right? I mean, this really was the key investment thesis behind teaming up with Wolt. I mean, when we were looking internationally in terms of expansion opportunities, one of the things, perhaps, the top thing that got us most excited about teaming up with Wolt was the fact that they had leading retention and frequency in every market that they competed in. And that’s a combination of a few things. But at the end of the day, it comes down to offering the best combination of inputs for customers, the best selection, the best quality of service in terms of delivery quality, the best affordability, and the best support. The second thing I would say is that, since teaming up with Wolt, which closed in 2021, it’s been a couple of years now. We’ve added some of the lessons that we’ve learned at DoorDash, lessons in making improvements to each one of these inputs. And that combination, I think, is what you see that’s driving the growth and virtually taking share gains in every market that we play in.
Operator: The next question comes from the line of Michael Morton from MoffettNathanson. Please go ahead.
Michael Morton: Hi, guys. Thanks for the question. If we could maybe do two, one on international, following up on some of the comments Tony just made and then maybe a quick one on groceries. Tony, I love hearing more about the retention aspects for international, but like you talked about in the press release today, two full years with Wolt. Love to learn some more just beyond the retention aspects. Some key takeaways after running this business for two full years on what it takes for the best performance in these international markets. Is it market structure, market share, consumer spending capabilities? And then how that might dictate your plans to grow in new countries and/or maybe exit certain markets where you don’t like the industry structure? And then just a quick one on CPG advertising, some learnings and differences you’ve picked up compared to your restaurant advertising business would be great? Thank you.
Tony Xu: Sure. Yeah. I mean, on the first question regarding international and just lessons learned. I mean, the first thing I would say that -- is that, there’s no silver bullet in operating these kinds of businesses, but the story is really the same in virtually every market. Sure, every market, to your point, has different challenges and different dynamics in the market, but at the end of the day, it comes down to who can create the best service for customers, couriers and merchants. And I think remembering that as simple as it sounds is actually quite important, because I think there’s always a lot of competitive activities in our space, but I think that making sure that you can win on building the best product as measured by the highest retention and frequency levels. I mean, that’s kind of what we’ve always held ourselves to. That’s what the customer holds us to. And I think that we’ve been lucky in that we’ve been able to achieve that bar at least better than anyone else in all the markets that we plan. But at the same time, it’s also not good enough, if you look at just how underpenetrated so many of these markets are, especially outside of the United States. And that’s true in the restaurants category, but that’s true virtually in every category, which just means that we’ve got a long ways to go before we’re satisfied with what we’ve done for our customers in solving the local commerce opportunity. With respect to CPG, I think, it’s been just a really fast learning curve for us. I think we had a lot of attention and excitement from virtually every top CPG advertiser, because they saw the largest local commerce platform offering ads for the first time three years ago that had the highest frequency, the highest membership base for local commerce and the highest cross-sell between categories. And so, obviously, their question is like, “Hey, what are you waiting for? When are you guys going to actually open up the platform, so that we can meet new customers?” At the same time, we also have to balance the other side, which is an advertising business can only be built off the back of a healthy and robust marketplace business, and it doesn’t really go the other way around. You need the marketplace business to grow in order for your advertising business to have a long runway for healthy growth. And so that’s kind of what we’ve always looked for, but it’s always two guiding principles. How do we offer the best-in-class consumer experience with no degradation in experience, and how do we offer the best return for advertisers? And that’s true for small restaurants, that’s true for big restaurants, that’s true for big CPGs, that’s true for small mid-market CPGs. I think that, one thing that you see now that we’re in the third year of doing this is we’re starting to finally make great progress in just offering a very balanced portfolio. I think we started by offering and introducing ads to restaurants where I think that was, something that was very natural to some of the activities that we had done before then. But now that’s pretty much fully built out for CPGs and I think now it’s making sure that we grow that in a responsible way, achieving, again, the balance between consumer happiness and advertiser returns.
Ravi Inukonda: Hey, Mike. It’s Ravi. Just to add a couple of points that Tony talked about on the international side. Again, the formula for us, like Tony mentioned, is largely similar. We’re seeing strength in retention. We’re seeing strength in order frequency, as well as gross profit. Last call, I talked about the fact that the entire international portfolio is gross profit positive and it has continued to improve. For us, what’s important is we want to drive scale. Scale drives efficiency in the business. We’ve done that in the U.S. and it’s the same formula we’re using in the international market as well.
Michael Morton: Thank you.
Operator: The next question comes from the line of Andrew Boone from JMP Securities. Please go ahead.
Andrew Boone: Great. Thanks so much for taking my questions. You mentioned in the press release better frequency for new verticals. Can you help us better understand that for drivers and then where are you seeing better frequency? And then a question really on ramping new merchants. We’ve noticed that incentives are larger. As we think about you guys normalizing on selection, can you just help us understand the size of the investment it takes to bring new merchants onto the platform? Thanks so much.
Tony Xu: I can take the first part of the question. I mean - Andrew, I guess, in general, I mean, we see order frequency increases both within restaurants and incrementally on top of that from new verticals. It depends a lot on the geography and which new selection that has been onboarded or so how strong the selection density is within a market. For example, obviously, we’ve been very strong in grocery and in convenience. That’s been a big focus for us for years. And we’re excited, actually, just this morning, we announced an update to our partnership with Chase, which now makes us Chase’s exclusive partner in both restaurant delivery and grocery delivery for all of their cardholders. And so, I think you’re seeing the appreciation of our performance, not just by consumers, but also by other large companies out there that are trying to tap into a very valuable base of customers, a lot of whom are coming to us for grocery and for these new verticals. But there are examples where we just launched recently, for example, with Ulta Beauty. So as we’ve launched health and beauty, some customers come to us for the first time, whether it’s to Ulta, to Sephora, to other health and beauty merchants for the first time, or Lowe’s in the home improvement category. So, it’s not coming from one area. As we add more categories, we see more order frequency growth.
Ravi Inukonda: Yeah. Andrew, I’ll take the second one. Maybe just a couple of points on the first one that Tony mentioned. Our goal is to drive overall order frequency up. We’re not trying to drive just the restaurant order frequency up or the new verticals order frequency up. In fact, looking at the order frequency in a blended basis is not how we think about the business. It’s truly a cohorted business. When I look at the cohorts, even the age cohorts, they’re engaging better with us. Their order frequency is going up, partly because the product has gotten better. You have more categories. Delivery times have gotten better. The entire order frequency continues to go up. The newer cohorts are actually joining at better order frequency than many of the older cohorts. Andrew, second point on selection investment. I mean, look, I mean, our goal is to continue to drive selection higher. It’s a core part of our strategy. We are adding selection in restaurants. We are definitely adding more selection on the grocery side, as well as international. The way we think about it is, as long as we are driving incremental GOV, as long as the conversion is continuing to increase, we’re going to continue to drive selection higher. And you’re seeing that strength being reflected in not just the demand, but the underlying cohorts of the business as well.
Andrew Boone: Thank you.
Operator: The next question comes from the line of Brad Erickson from RBC Capital Markets. Please go ahead.
Brad Erickson: Thanks. I just have two here. One, on the incremental flow through of EBITDA, so relative to GOV, it looks like it picked up a quarter-over-quarter maybe a couple 100 basis points. Can you call out any drivers of the difference there, if you can? And then second, in a bigger picture, Ravi just talked about the improving unit economics on the gross margin side across all parts of the business. So, it kind of seems like that should roughly rhyme with EBITDA expansion over time. What are any other considerations as to why that would not be the case, if you could? Thank you.
Ravi Inukonda: Yeah. Let me take the first one and I’ll get into the second one. On the EBITDA upside that we saw in Q2, there’s two factors, right? One, you saw us continue to drive higher growth. GOV came in better than expectations. The overall business is gross profit positive, so you’re seeing that flow through to the bottomline. Two, you also have improvements in unit economics, gross profit across most major lines of business. You’re seeing that impact the overall business as well. From a philosophy perspective, Brad, I mean, I think, I want to be clear. Our goal is to grow as fast as we can by being inside of the range from an EBITDA perspective. I would expect that to be the case going forward in Q3 as well. But longer term, let me break the business apart, right? On the restaurant side, we’ve done a great job of improving the contribution margin in H1 despite absorbing some of the regulatory costs. There’s still a lot of opportunity for us to continue to drive margin higher there. It’s not going to be at the same clip as we’ve done over the last couple of years. New verticals, as well as international are still early. We’re seeing good growth. We’re seeing good opportunities to continue to invest there. But these businesses are not truly optimized for efficiency. As we continue to drive efficiency higher across the P&L, I would expect margins to continue to improve. More importantly for us, the formula has always been invest behind retention, order frequency, as well as continued improvement in gross profit. We have seen that in the business. If we find good areas to continue to drive investment, we’re going to do that. Our goal is to drive GOV growth while being disciplined from an overall investment perspective.
Brad Erickson: Got it. That’s great. Thank you.
Operator: The next question comes from the line of Bernie McTernan from Needham. Please go ahead.
Bernie McTernan: Great. Thank you. Just wanted to stick on international. Tony, you mentioned the shareholder ladder, how international ambitions remain well above what you’ve been able to achieve so far. So, just want to see -- does that mean more countries, different categories or different products coming to your current? And basically, do you have the right asset mix currently to achieve those ambitions?
Tony Xu: Yeah. Hey, Bernie. I mean, I guess, to add to some of the comments I made previously, we have a good foundation to build from in all of our markets. That’s how we start. And if you don’t have that, it’s difficult to solve every local commerce problem. For us, that obviously starts with the restaurant business, which, whether it’s internationally or here in the U.S., we have leading retention and frequency, which is a great place to build upon. And we’ve added quite a lot of categories into all of our markets actually and those are growing really, really nicely. But when I look outside of the U.S., I would say that, the vast majority, virtually every country outside the U.S. for us, is still behind what we think the penetration levels ought to be if we actually brought all of the products that we have in market here in the U.S. overseas. We’re not there yet, right? We have a great house in which the structure is very, very good. We’re growing many folds faster than our peers. We’re doing a nice job of launching new products that we’ve built from the DoorDash side to all of our markets. But on the flip side, I would say that, the levels there are still not where they ought to be. We’ve got a long ways to go on getting restaurant selection where it needs to be. We’re off to a fantastic start outside of restaurants, especially given that retail, I would say, is a little less developed on a comparative basis when you look outside of the U.S. versus, say, the retail industry within the U.S. And then when I look at the five businesses that we have, as well as other businesses that we’re incubating, I think, the potential to bring this globally to be the largest local commerce platform in any country, I think, that remains just a very, very large opportunity for many years of growth.
Bernie McTernan: Makes sense. Thanks, Tony.
Operator: The next question comes from the line of Michael McGovern from Bank of America. Please go ahead.
Michael McGovern: Hey, guys. Thanks for taking my question. I wanted to ask, again, a little bit about the restaurant menu inflation. Is there any dynamic underlying the AOV number that is basically suggesting that there is some level of food inflation and maybe have some offsetting, things like drive that are making AOV not increase? And then also just quickly, I want to see if you comment on regulatory with Prop 22 being upheld in California and are you still seeing any impact in New York City and Seattle from regulatory changes there? Thank you.
Ravi Inukonda: Hey, Mike. I’ll take the first one. Tony will take the second one on regulatory. On the first one, I mean, look, I mean, inflation has not had a big impact on our business. If you think about it, like when inflation first peaked about a year ago, we saw fewer items per order. But overall, we’ve also driven consumer fees down. So I look at overall, even the restaurant business from an AOV perspective, it’s relatively flat year on year. So we’re not seeing any impact on that. And pretty pleased with the progress we’ve made on overall affordability, which is continuing to drive the growth that you’re seeing in the business.
Tony Xu: Yeah. The second question with respect to regulatory, it’s actually pretty much the same story that I think we’ve communicated ever since doing the first earnings call. And really, it reflects even what we thought 10 years ago when we started forecasting what might be true in regulatory, in particular on the labor piece across the world, which is I think in the majority of the world, the overwhelming majority, most jurisdictions want to actually support us in giving Dashers what they want, which is the flexibility of a work opportunity that’s never existed before and also protections that we believe they deserve. I mean, to your point or the premise of the question, you’re right. I mean, it’s good to see that lawmakers most recently upheld Prop 22 here in California. We expect that. We expected that not just because we’re right on the wall, but because we think it’s the right thing to do. It’s actually giving users in this case, the Dasher, the driver, exactly what they’re looking for. I always have to remind people that over 90% of Dashers do fewer than 10 hours a week on the platform. The average Dasher does 3 hours a week to 4 hours a week. The overwhelming majority, over 80%, 85% of Dashers actually have full-time jobs. So they’re specifically telling us, we do not want to be told what hours to work or where to work them. And so we see that most governments, lawmakers around the world, certainly here in the U.S. as well, actually want to do right by the Dasher and actually support us in what we want to do for workers. I also hope whether it’s this election cycle or future election cycles, whether it’s here in the U.S. or around the world, that things will moderate a bit in terms of temperature and that this can be something that we as a company, as well as other companies in the space can work productively with any government to actually achieve what Dashers want. And I don’t know, Ravi, did you want to comment on New York or Seattle or any…
Ravi Inukonda: Yeah.
Tony Xu: … of these economic activities?
Ravi Inukonda: Yeah. Maybe on New York and Seattle. I talked about the fact in the last call that we did take a meaningful amount of impact on EBITDA from the regulatory cost in Q1. That did come down in Q2, just like I said it would. A lot of that is being driven by the underlying improvements we’ve made in product to drive efficiency higher. I do expect those costs to continue to reduce as we go through the rest of the year. Look, I mean, our goal in philosophy has always been any market that we operate in, want to run with sustainable unit economics, and that’s going to be true for these markets as well. It’s not going to be a step function change. It’s going to be a gradual change. We really like what we’re seeing in the business from an overall efficiency improvement perspective for those markets.
Michael McGovern: Got it. Thank you.
Operator: The next question comes from the line of Ron Josey from Citi. Please go ahead.
Ron Josey: Great. Thank you for taking the question. Can you hear me okay?
Tony Xu: Yeah. Go ahead, Ron.
Ron Josey: Oh! Great. Perfect. So maybe a follow-up on what we were talking about earlier and all the improvements on efficiencies. The letter -- the press release talked about reducing order defect rates and merchant churn while also lowering fees. And I’m just wondering, this lowering fees, is this passing along the savings and you’re sort of seeing the benefits of, call it, lowering fees, more efficiency, lower fees, higher order rates. It’s all coming together. I wanted to get your thoughts on just, are you passing along these savings to consumers and then therefore seeing improving top line growth? I’m curious on that dynamic. Thank you.
Tony Xu: Yeah. Hey, Ron. It’s Tony. I mean, look, we’re always trying to do one thing, right? Which is to move fees in one direction. I don’t think I’ve ever spoken to a consumer who’s asked us to raise prices. And so we are always trying to lower the fees and pass them on. And there’s various ways in which you can do this. We’re obviously trying to be more affordable. We’re trying to increase and widen the selection lead that we have. We are trying to improve the quality of our logistics system. We believe we have the best one, but it doesn’t mean that it’s perfect. And so we have to get more accurate. We have to get faster. We have to be better about finding every product in the physical world, especially now that a lot of what we do is outside of restaurants and inventory remains a challenge for every physical retailer. And so there’s a lot of work to do. We’re not yet satisfied with where we are on all of the dimensions. We appreciate and tremendously respect all of the efforts that our teams have done in terms of building the best product, in terms of having category leading retention and frequency. We’re not there yet. In the eyes of the consumer, we can still be more affordable. We can still have better selection. We can still have better quality and better support. So we’re working on all of those things.
Ravi Inukonda: And Ron, just to add to that, the way we think about investing is, our goal is to grow as fast as we can while trying to be within the discipline parameters. What you’re seeing in the business is restaurant growth has been very strong. We’re continuing to drive margins there higher. You’re seeing very similar dynamic in both new verticals, as well as international. But not just the growth, but overall improvement in profitability has been higher. For us, whenever we think about a dollar of efficiency, the next step we think about is that back in the business, because you want to drive order rates higher, you want to drive scale higher. The scale ultimately drives efficiency. And that’s the consistent cycle that we’ve been on and nothing has changed in regards to how we operate the business.
Ron Josey: Thank you, Tony. Thank you, Ravi.
Operator: The next question comes from the line of Lee Horowitz from Deutsche Bank. Please go ahead.
Lee Horowitz: Great. Thanks for the questions. In the past, you’ve called out fixed OpEx as a percentage of GOV for 2024 that’s expected to be stable. I guess, is that still the operating assumption that we should be thinking about for this year? And then sort of looking beyond this year, how are you thinking about sort of your ability to drive leverage on a go-forward basis as you digest sort of an admittedly small step in fixed OpEx? And then maybe just on the advertising business, I guess looking out to next year, you guys will have stacked up some really nice growth within your grocery business, which I assume would open up the eyes of some of your CPG ad partners. Would you expect sort of CPG ad participation in the advertising product, perhaps, lag some of the volume growth, as we’ve heard from some of your competitors in this space? Thanks so much.
Ravi Inukonda: Hey, Lee. I’ll take the one on OpEx. Tony will take the second one. Look, I mean, our goal is not just to grow strongly in 2024, but our goal is to continue to drive strong growth for many years to come. For us, the key there is continue to innovate on the product side. What we’re seeing in the business is continue to invest behind the product. You’re seeing improvements in retention. You’re seeing improvements in order frequency. I mentioned earlier, the 2023 and the 2024 cohorts are as strong as any of the older cohorts we’ve seen. Our philosophy has always been to invest behind the strength that we’re seeing in the business. We are investing, we’re adding resources in select areas, mostly on the engineering and the product side. And I think the benefits of that from an overall growth, as well as an efficiency perspective. As I think about OpEx, I would expect OpEx roughly to be at the same level on a percentage of GOV basis for the rest of the year. I mean, looking forward, our goal is to continue to scale the business and our goal is to drive leverage in OpEx, just like any other part of the P&L.
Tony Xu: Hey, Lee. On the second question about the pacing of CPG ad growth, I mean, we really like what we see, right? I mean, right now the focus, again, and it’ll always be this, is to make sure that the principle that building a great marketplace comes before building a great ad business. And if your marketplace business isn’t growing in a sustainable and healthy way, that’s not going to degrade the consumer experience, it almost doesn’t matter everything that comes after that sentence. And so, for us, I mean, to your point, you’re right. I mean, our new verticals, whether it’s grocery, convenience, alcohol, other retail categories, business is growing really fast. Every CPG is a customer and the question is like, how fast do we get into that spend? The way I think about this is, there’s no rush to doing it. And actually, you can actually make a pretty big mistake if you get into it too quickly. I mean, as long as we have the biggest audience with the greatest level of activity in terms of frequency engagement, retention and frequency, we’re always going to be available to the CPG advertiser. And I think they’re always going to be interested and they’re always looking for the best returns, and I think it tends to come from the marketplaces that aren’t the biggest -- just the biggest, but also the ones with the highest activity and the highest growth rates. And so that’s the balance for us. I mean, our CPG ad business is growing really, really fast. I’m very pleased with the performance by the team. But again, in terms of pacing, I almost think of it as sequencing, which is the health of the marketplace should always come before the monetization of the marketplace.
Lee Horowitz: Helpful. Thank you.
Operator: The next question comes from the line of Shweta Khajuria from Wolfe Research. Please go ahead.
Shweta Khajuria: Thank you for taking my question. Let me try two, please. One is on advertising growth. So could you talk about your current ad tech stack and where you are in terms of your product and where you think there is opportunity to continue to grow and gain greater share? That is whether you’re talking about attribution or you’re targeting capabilities or telling CPGs that we can get you incremental customers that you can’t find elsewhere, whatever that is, where are you today and where’s the opportunity? And second is on competitive dynamics. Through the quarter, there was a lot of talk about perhaps you potentially losing share. It clearly doesn’t sound like you are. Could you talk about the -- whether you’re seeing greater competitive intensity in suburban markets in the U.S. and what you’re seeing in international markets? Thanks a lot.
Tony Xu: Sure. I can take both of those and feel free, Ravi, to add in. Hey, Shweta, on the first question on ad tech stack and just where we are, I mean, it’s a three-year-old business. I mean, it’s growing lights out fast. I think if it were a standalone business, people would be very pleased with its performance. But again, to me, it’s not about rushing it. Even though it’s growing really, really fast and we’re in no disadvantage relative to anyone else, it doesn’t mean that we should just step on the gas all the way. So there’s a lot more room. I mean, if you look at where we started with ads, most of the stack was built for restaurants and that probably makes sense given our history. But DoorDash is no longer just a one-category, one-country company. We are five business lines, 30-plus countries. And so to your point, we have to evolve and build maturity in the stack for bigger restaurants, for CPG advertisers, for advertisers across all categories, not just in food, but in all of retail. So I think there’s a very long and straightforward roadmap. What I like is that, their -- and certainly what they’ve told me and also what we see in terms of their investments with us is that they’re ready to go. And they’re always going to be there so long as we offer the best-in-class returns for them, which we believe derive from having the leading marketplace, both in terms of users as well as usage. And I think the rest will take care of itself. So we feel good about the growth there, but there’s a lot more to come. On the second question, I mean, to be candid, we haven’t really seen much change in the competitive landscape. I mean, there might be a lot of activity, but there’s not a lot of progress, if you know what I’m saying. I mean, I think it’s mostly noise that we’ve kind of heard. And I think that whether you look at new customer acquisition, you look at existing behavior, you still see that, at least in the eyes of the consumer, they seem to really prefer DoorDash. And I think what it speaks to is that you’re always going to have a lot of activity. We have seen -- I’ve been doing this for over 11 years. I’ve seen periods of very high promotional activities, high partnership activity, high other forms of activity. But at the end of the day, the one thing that any marketplace or any consumer product is judged on is retention and frequency, and that’s something you can’t cheat. You can’t just game on a one-time basis. And all roads always point back to the marketplace that offers the best combination of selection, quality, price, and support. So far, we are -- that marketplace, as long as we can continue our extension of our lead in the product. I feel really strong about our position, irrespective of activity. But I think it’s always been competitive. I expect it to always be competitive. But in terms of, like, what’s actually happening, whether it’s in suburban markets, urban markets, nothing’s really changed.
Ravi Inukonda: Hey, Shweta. It’s Ravi. Just to add to…
Shweta Khajuria: … the first point on ads, right? Like, I mean, we’re still very early in our journey, like Tony talked about, right? Like, you’re seeing the impact of ads on both revenue, as well as EBITDA, but the majority of the ad revenue is in the U.S. It’s mostly focused on restaurants at this point, still early from a CPG, as well as an international perspective. We’re holding our teams, you know, with the constraint on conversion as well as merchant relies, as long as those continue to be best-in-class, we’re going to continue to improve the overall ad business.
Shweta Khajuria: Thanks, Ravi.
Operator: The next question comes from the line of John Colantuoni from Jefferies. Please go ahead.
John Colantuoni: Thanks for taking my questions. You added tens of thousands of new merchants to the U.S. marketplace. I’m curious how that additional supply compared between the restaurant delivery business and the verticals. And I know that just -- that’s just one of a number of investments that you’re making to help drive improvements to the consumer offering, but I’m curious if you could help frame how much more room you have to continue expanding supply over time? And second question, just curious if you can quantify the impact of New York and Seattle, and the changes that you made there on GOV and EBITDA in the second quarter? Thanks.
Tony Xu: Hey, John. It’s Tony. I’ll take the first one on adding selection and maybe, Ravi, you can take the second one. On adding selection, I mean, it’s really everywhere, John. I mean, there is no like one category we’re particularly targeting. I mean, we are trying to represent every city in a digital way, which means unless we have every breathing merchant that is alive in the city, we don’t have great selection. And so that’s really true. I mean, if you even were to drive out from any city center, our selection probably wanes as you go further out. And so I think we’ve got a long ways to go. And don’t forget also with restaurants, there’s always new restaurants coming in. One interesting fact about the restaurant industry and this is virtually true in every country, is that the total number of restaurants every year almost always exceeds the previous year, but it’s not necessarily the same set of restaurants. And that’s because restaurants come and go, and so there’s always a ton of work to do there. So the room to run on restaurants is almost this perennial kind of body of work. And then with retail, I mean, we’re just getting started. And so I think we have a long ways to go in terms of adding selection.
Ravi Inukonda: John, on New York and Seattle, from an overall GOV perspective, I mean, the combination of both of those markets don’t make up a large portion from an overall company perspective. So the impact from GOV and volume from an overall company perspective has been small. Individual markets we’re seeing some elasticity, but not to impact the overall total company growth rate. From an EBITDA perspective, I mean, look, Q1, I mentioned that we did take a meaningful amount of impact on EBITDA from these costs. That cost did come down in Q2. A lot of that is being driven by improvements we’ve made on the product on the efficiency side. As we go through the rest of the year, I do expect the cost impact from an EBITDA perspective to go down. This was part of the reasoning I mentioned, causing H3 to be higher than H1, where we’re seeing impact from regulatory costs continue to reduce, as well as the volume continues to grow, as well as the gross profit for the various lines of business continue to grow as we go through the rest of the year.
John Colantuoni: Thanks so much.
Operator: The next question comes from the line of Mark Zgutowicz from The Benchmark Company. Please go ahead.
Mark Zgutowicz: Thank you. Maybe switching gears a little bit, talking about price parity, obviously, an important topic. Doesn’t seem to get much progression, though, and I’m curious if you are close to any initiatives that might incentivize grocers to get there, possibly, like, prioritize ad placement, maybe what some of the puts and takes are there? And then maybe flipping the ad expansion discussion on its head. I’m curious where you have seen, maybe in certain verticals or environments, degradation in app engagement or order frequency as a result of increased ad load? Thanks.
Tony Xu: Mark, it’s Tony. I’ll take both of those and feel free to add here, Ravi. Look, on price parity, I mean, you’re absolutely right that it’s an important point in terms of affordability, right? I mean, we’re always trying to make our products and services more affordable. That’s true in restaurants, that’s true in grocery, that’s true in convenience, that’s true across the Board. There’s no simple or silver bullet answer to your question. I mean, we’re constantly working to make sure that we can align the business model and the incentives such that we can offer the most accessible and affordable service. Now, look, all of this comes in conjunction with other things, right? It’s not hold -- you can’t just hold one thing static. I mean, there’s a lot of other things that we have to do in terms of making sure that the inventory is actually there, making sure that if you didn’t get what you were hoping to get, that the substitution we made is perfect or acceptable to you. And so there’s a lot of things that have to come together for what you’re talking about. Price obviously is one component or one input in which we are judged. But there are so many other components too. And they sometimes interplay, right? As we find efficiencies in our logistics work, that’s worth it or if we can rip out inefficiencies that shouldn’t be in our system, those are costs that we can use to help fund other programs. And so there’s a lot going on. There’s no simple answer to your question. But it’s something that will be a perennial part of what we do. On the second question, I mean, it’s a great question, which is that you’re absolutely right that, ads do have an impact, a negative impact on the consumer experience. And it’s why I kind of harp on this all the time where you have to not be confused in terms of what drives what. And in this case, it’s a healthy marketplace that enables an ad business and not the other way around. And so this is one thing in which I think we’ve been more conservative on in making sure that we protect the consumer experience. And so, in terms of seeing degradation, we haven’t seen much of it, partly because of how we’re designing the system. Again, we’re super proud of, I think, our ad business. I think the size of the business would be impressive as a standalone company. But at the same time, we have to make sure the sequencing is right, where we are always making sure that we have the most engaged, the largest audience when it comes to local commerce. That will make it easy for everything else from an ad perspective.
Mark Zgutowicz: That’s helpful. Thank you.
Operator: Ladies and gentlemen, this concludes today’s Q&A session and today’s conference call. You may now disconnect. Thank you for your participation.